Brent Turner: Good morning. I’m Brent Turner, President of Acadia Healthcare, and I’d like to welcome you to our First Quarter 2017 Conference Call. To the extent any non-GAAP financial measure is discussed in today’s call, you will also find a reconciliation of that measure to the most directly comparable financial measure calculated according to GAAP on our website by following yesterday’s news release under the Investors link. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Acadia’s expected quarterly and annual financial performance for 2017 and beyond. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Acadia’s filings with the Securities and Exchange Commission and in the Company’s first quarter news release. And, consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, for opening remarks, I’ll now turn the conference call over to our Chairman and Chief Executive Officer, Joey Jacobs.
Joey Jacobs: Good morning, and welcome to our first quarter conference call. In addition to Brent, I’m here today with our Chief Financial Officer, David Duckworth, and other members of our executive management team. David and I, each have some remarks about the first quarter and our outlook for Acadia. Then, we’ll open the line for your question. Our results for the first quarter were consistent with our expectation and we were pleased that are adjusted earnings per diluted share of $0.46 met our guidance for the quarter. Please note that our results for the first quarter were affected by the divestiture of the 22 facilities in the UK during the fourth quarter of 2016 and the 14% decline in dollar pound exchange rate from the first quarter of 2016. With leap year in the first quarter of 2016, we also had one less day in the first quarter of 2017. Adjusting for that difference this year’s first quarter U.S. same facility stat would increase by 110 basis points. Despite these factors we produce solid financial and operating results for the quarter and we expect to achieve our financial guidance for the year. Acadia’s revenue growth for the quarter was primarily driven by the addition of a net 6,200 beds through the Priory acquisition halfway through the first quarter last year. We initiated full integration of Priory into Acadia after the UK facility divestiture in November 2016. By the end of the first quarter of 2017, we had achieved about $16 million of expected $20 million of cost synergies from the transaction and we expect to recognize all the cost synergies by the fourth quarter of this year. In addition to the Priory beds, we added just over 950 beds during the trailing 12 months ended March 31, 2017 through three U.S. acquisitions and the addition of 700 maping beds to existing facilities and de novo facility. 82 of these organic beds were added during the first quarter of 2017. We expect to add over 800 new beds organically for all of 2017, primarily to existing facility and through three de novo facilities scheduled for opening in the second half of 2017. We believe while the factors that we face during the first quarter had an impact on the quarter, they did not meaningfully affect the favorable long-term market dynamics of the behavioral health industry in the U.S. and UK. Our Acadia’s ability produced long-term profitable growth and increased shareholder value by successfully executing our proven business model. With long-term trends of increasing demand and act as expected to continue we expect ongoing industry capacity constraints and rising consolidation pressures will continue to provide Acadia opportunities to successfully implement its acquisition and organic growth strategy. Thank you for your time this morning and your interest in Acadia. Now David Duckworth will take you through some of the financials.
David Duckworth: Thanks, Joey, and good morning. Acadia’s revenue for the first quarter of 2017 was $679.2 million, up 10.1% from $616.8 million for the first quarter of 2016. Adjusted income attributable to Acadia stockholders was $39.9 million or $0.46 per diluted share for the first quarter of 2017 compared with $45.8 million or $0.55 per diluted share for the first quarter last year. Adjusted diluted EPS for the latest quarter excludes transaction-related expenses of $4.1 million. For the first quarter of 2016, adjusted diluted EPS excludes transaction-related expenses of $26.3 million and a gain on foreign currency derivatives of $410,000. On a constant currency basis Acadia’s revenue increased 16.2% to $716.7 million for the first quarter of 2017. Adjusted income from continuing operations attributable to Acadia stockholders on a constant currency basis was $43.8 million or $0.50 per diluted share. Acadia’s tax rate on adjusted income from continuing operations before income taxes was 24.5% for the first quarter of 2017 compared with 21.9% for the first quarter of 2016. Same facility adjusted EBITDA margin was 25.2% compared to 25.6% for the first quarter of 2016. Comparable quarter consolidated adjusted EBITDA was $136.4 million, an increase of 4.1% from $131 million for the first quarter of 2016. Acadia’s operating cash flow from continuing operations was $57.4 million for the first quarter of 2017. Turning to our financial guidance, and as announced in yesterday afternoon’s news release, we’re affirming our 2017 financial guidance which includes, revenue in a range of $2.85 billion to $2.9 billion, adjusted EBITDA in a range of $625 million to $640 million and adjusted diluted EPS in a range of $2.40 to $2.50. This guidance assumes an exchange rate of $1.25 per British pound sterling and a tax rate of approximately 25%. Our financial guidance does not include the impact from any future acquisitions or transaction-related expenses. This concludes our prepared remarks this morning and thank you for being with us. I will now ask Ebony to open the floor for your questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from A.J. Rice, UBS. Please go ahead.
A.J. Rice: Thanks, good morning. Top line in the quarter, a little bit softer, I guess if you see anything in the quarter progressed maybe talk about any issues in the UK specifically aside from distraction after Priory. And I guess just how frame your comfort and confidence in revenue and EBITDA guidance ramp as we sort of move through the year. Thanks.
Joey Jacobs: Well. Obviously by reaffirming the guidance in our press release and now on the call, we’re comfortable with the total year guidance. And as if you follow the history of the industry of this company usually our softest quarter is the first quarter and then we begin to have a ramp up in the quarter starting in the second quarter. So I think for the last three quarters each we need about $0.66 to hit the guidance. And I think that’s very doable and working after very hard to make that happen.
A.J. Rice: Okay, fair enough. And then just want to ask on the margin side as well, a strong results with margin expansion in the UK even on the 2.6% same facility revenue side and then conversely 90 bps of pressure on the 5.5% in the U.S. Can you maybe just talk about the dynamics there sort of the sustainability, sort of the margin expansion on the UK? And maybe what led to some of the pressures in the U.S. despite a pretty healthy change for growth. Thanks.
Joey Jacobs: I think due to the size of the company small movement whether it’s coming in just a little lot on the revenue or little moreover on the expenses makes that 90 basis points occur in the margin. So where we’re staffed and position to improve our profit margins going forward. We expect the UK to continue to work through the integration and to consolidate the two companies and to implement their marketing and growth plans there. So we’re very positive about the outlook for the margins both for the UK and for the U.S.
A.J. Rice: Thank you.
Operator: [Indiscernible] Go ahead.
Unidentified Analyst: Yes. Let me try again here. Hello, everybody. First of all, maybe just quickly on the redeploying of the Priory proceeds, I know that you’re just hoping to redeploy that in the U.S., can you just update us on what you see in acquisition wise, pipeline, that type of thing?
Joey Jacobs: The pipeline is – we’re as busy as we’ve ever been. After this call today, a group of us are going to be a making a trip to meet with a party about a joint venture. And with me going, I think that means we’re getting close to seeing that happen. So there’s a lot of activity on the pipeline. And then on the larger transactions, there’ll be a couple of those that will come to the market and would be actionable this year if we still desire to do them and if the due diligence holds up to our standards of the past. So that pipeline is busy. The joint venture opportunities are numerous. And the larger transaction, there’ll be a couple this year that will be actionable if they get through our due diligence process, we can make that happen.
Unidentified Analyst: Okay. And then just maybe a follow-up on the labor side, any update on what you’re seeing in terms of availability of both clinicians and psychiatrist? And how’s that pipeline look? And what are you seeing there?
Joey Jacobs: Here in the U.S., we’re doing an excellent job on attracting physicians and the technical individuals that we will need for our facilities to meet our patient’s demand. The real shortage is over in the U.K. where there is a nursing shortage over there. But we have a plan there to be more efficient there and to use less agencies expense there. So the U.S., we’re doing fine and working through any labor issues or shortage of labor issues in any market. And then the UK, we’re working on a strategy, how did we attract more nurses, make it deep place to work for in the U.K.
Unidentified Analyst: All right, all right. Thanks a lot.
Operator: [Indiscernible]
Unidentified Analyst: Hey, good morning, guys. My first question, Joey, just one concern that we’ve heard from investors is your exposure to the Affordable Care Act if that is repealed and replaced by Congress. So I just want to hear your thoughts on what benefit do you thank you had seen over the years with ACA. And based on what we’ve seen in terms of the draft, what do you think is the true exposure that Acadia has if the ACA is indeed repealed?
Joey Jacobs: We think the exposure to us is both positive and negative is a very small, but we’ll have to wait and see. Access to mental health benefits, everyone wants that to happen. Now during the process of changing the healthcare law, if that is possible and if they have the votes to do that, we’ll just have to wait and see. But the demand for our services and employers and stay, realize the important of covering those individuals and their families, so this is a – as we stated with the ACA when it first came in that it was more of a neutral to us. If it was to go away, I think it would be neutral to us. It might be a slight negative, but it might also be a slight opportunity for us to work through the issues and meet the demand. And I think all of our facilities are positioned well to meet this issue.
Unidentified Analyst: All right, got it. And then just going back to your comment on organic growth, Q1, obviously, usually the weakest, but as I look at the last three quarters, you guys have reported somewhere in the 6% range, respectively for the U.S. So how do you view organic growth ramping up beginning in the second quarter, given the number of beds you’ve added? Is that a good way to think about that, just looking back the number of beds, especially the percentage of that in the U.S. and also how IMD plays into that whole equation?
Joey Jacobs: Okay. Obviously, when you look at the U.S. same-facility patient day growth, the actual number’s 5.8%. That’s up against a tough comp and up against an extra day last year. So if you adjust for those 2 factors, patient day growth actually was about 6.9% for the first quarter. So that is trending better than what we saw in the last two quarters, I think of last year. Just – now this is what is today, April 26, this is the first 26 days here in the U.S. in April. We’re about 6% and on the same-store growth again this time, with more beds in line, online. So we’re still very optimistic about our ability to grow the patient days and so we feel good about that, Ron Fincher and his operations team and the people that support the growth in our facilities and bringing the beds online, they’re doing an outstanding job, and we expect that to continue for the rest of the year and – but the first quarter was a tough comp period, even with the leap year day.
Unidentified Analyst: And Joey IMD, just if you don’t mine, just tying that in there. What are your thoughts?
Joey Jacobs: I’m looking at Brent. He’s our IMD expert.
Brent Turner: Again, I think with a lot of the noise around the ACA, repeal and replace, we probably didn’t see any significant change in our Medicaid exposure during the first quarter compared to the sequential fourth quarter. But again, the trends there, the IMD waiver for the managed Medicaid plans, that is not change – that did not have any connection back to the ACA issue. So again, we’re very optimistic about more access for patients including Medicaid going forward. But we didn’t see a big sequential impact on our Medicaid volumes in the first quarter.
Unidentified Analyst: All right, got it. Thanks, guys.
Joey Jacobs: Thank you.
Operator: [Indiscernible]
Unidentified Analyst: Yes, thanks. Good morning. The question I had was on the pricing growth, which looks weak. It’s flat to down. I was wondering how much of that is Medicaid mix you’re seeing relative to – are you seeing any pressure at all to your commercial contract as far as rate go?
Joey Jacobs: The rate environment is similar to what it’s always been. And Medicaid, as Brent mentioned earlier, was – is flat when you look at it for us. Our Medicaid utilization, there was not the big shift there. The commercial payers, it’s still in a negotiation process, and we go through those, wanting to get an increase between 4% to 6%. Naturally, they’re wanting to pay less. But anyway, this is a process that we go through. And many times, because of the – due to the size of our company now and the beds and with the U.K. being a part of it, the mix of the patient can impact that to some extent. And so we have seen some real positive growth in some of our child and adolescent residential programs. So you have to take all those factors. Obviously, we would like it a little bit higher and we negotiated contract by contract. We don’t have a national contract, so we’re working there. And I think our outpatient revenues will get stronger throughout the year. And I think that will also help add to the revenue per day calculation.
Unidentified Analyst: Okay. That’s helpful. Just one follow-up on this again on the revenue side, your volumes are very strong and you gave us some color, but – and in the patient days look good, but it’s lagging the volume and I was wondering if there’s any pressure on length of stay and are you doing that actively because of mix shifting to acute from residential or watching the regulatory environment or something else.
Joey Jacobs: Well, you know, Ana, we have built mainly acute beds, and so that would naturally lower the length of stay to some extent. But we don’t see a lot of pressure on the length of stay that – actually, length of stay is pretty stable and it’s just a mix of patients that we have on any given quarter that determine that and – but we are building more acute beds and this year’s bed build will be more acute oriented also.
Unidentified Analyst: Okay, very helpful. Thanks, guys.
Operator: [Indiscernible]
Unidentified Analyst: Good morning. Joey I know there’s obviously been a challenging 12 months, a lot of work underway. And now that you just a lot of these issues behind you, when you think about where you are operationally and from a financial perspective, I know you got that capital to redeploy, but are you really – do you feel like you’re any rush to it really go out and take on another large acquisition?
Joey Jacobs: We’re absolutely in no rush, and that’s reason, I guess, I kind of cautioned a little bit, I think when A.J. asked the question about large transactions. You know, we may have turned up our due diligence and made it even a little bit stronger than what it had been in the past. So we want to make the right acquisition. The acquisition won’t – obviously, the large one will be here in the U.S. and so – but we’re in no rush to do that. And we have plenty of things to take care of and there will be plenty of joint venture opportunities and – to do this year and next year. So we’re positioned very well to add growth to this company but add good growth to this company and so – and give our operations team credit here in the U.S. and in the U.K. The Priory transaction was a large transaction. And even though we had issues with the CMA, our team on board right now and the work they’ve already done has been outstanding, and we only see better and positive – more positive things happening for us there.
Unidentified Analyst: Got you. And then speaking of the UK, I think you talked about seasonality and things getting stronger after the difficult first quarter. Is that the same trend in the UK? Does that follow the same trend in the U.S. seasonality?
Joey Jacobs: To somewhat, but they have more – they’re probably listening. They have a few more holidays than we do, so we have – we’re getting used to their holiday schedule or their vacation schedule and the European way of relaxing and taking time off. I know the – as you know, they’ve triggered the divorce with the European Union or the Brexit. So there’s a little uncertainty there. So – but the pound has reacted nicely, both what’s happening in the U.S. and what’s happening in the UK. So we’ll just have to wait and see. We have lots of work to do there and plenty of opportunities, and our guys are doing it.
Unidentified Analyst: And just the last question, on the relative base, the weaker volume growth in the UK, I know you talked about a shortage of nurses there, do you attribute it to that? Or is there any other issue that you would call out for that weaker relative performance? Thanks.
Joey Jacobs: Not so much the nurses. We can use agency nurses to take care of the patients, and that’s more of a common practice over there than it is here in the U.S. I think the British government is a little bit more cautious, and more cautious meaning that NHS is more cautious. So I think there’s a little – this Brexit thing, I think they’re just looking and watching and seeing and see how they feel good and see what happens to their economy. And so – which is okay, for us. We have plenty of opportunity. We have plenty of beds we can fill. And we will – I think, you will see is – maybe our private mix will probably grow some. I think it’s about 5% of our patient days now over there, and patient – private mix is good growth.
Operator: [Indiscernible]
Unidentified Analyst: Great, thanks. Just wanted to get an update on the de novos that you opened last year. I guess, they were a little bit of a drag in Q2 and Q3. Sounds like they were getting better in Q4. Was there any drag in the quarter from those ramping up?
Joey Jacobs: Well, there’s always a drag until they get to our margin. But I’m pleased to report that group is positive earnings and quite – and Kevin, of those four that we mentioned last year, in the next 90 days, we’ll probably be doing expansion plans for them, that these senses during the last 90 days since the first of the year has been outstanding at these 4 de novos, and they still have some more room to grow into their existing capacity. But as you know, we plan ahead and I see all 4 of these facilities that we could start today planning to build them more beds. And so but they’re not at the 25% margin yet, but they’ll be growing into that. But the main thing was getting them out of the red and getting them cash flow positive and earnings positive, and that’s what we’ve done.
Unidentified Analyst: Again, how do we think about those 3 de novos that you opened up this year? Is there a drag from those 3 in the guidance? Should that change kind of the progression or seasonality at all as we think about the last 3 quarters?
Joey Jacobs: Should not. That was taken care of inside our budget. That should not. We factored that in to our guidance.
Unidentified Analyst: Shouldn’t think about how we should be modeling? Is it have any…
Joey Jacobs: Obviously, during the first 90 days, they lose money. And it’s just how quickly we go after that. Now one of these joint ventures is with a partner that, that facility could fill up quickly. So that might be a different story on the largest facility that we’re doing, the de novo facility that we’re doing this year that we have on an unbelievable partner with us, joint venture partner. But we’ll just have to wait and see. We’ve already hired the CEO for that facility, and it doesn’t open until the end of the third quarter, first of the fourth quarter and we already hired the CEO, and we’re getting ready for that, do the best we can do, so – but these 3 de novos this year are all second half of this year transactions.
Unidentified Analyst: Okay, great. Thanks.
Operator: [Indiscernible]
Unidentified Analyst: Hey, thanks. Of the 800 beds you’re adding this year, can you just remind us how many of those bed additions are to existing facilities versus joint ventures or de novos, and maybe just remind us, the cadence of how those beds are coming online over the course of the year?
Joey Jacobs: Okay. Let me give you how we have them coming online. We have – we did 82 in the first quarter and we thought would doing the 70. We’ll do in the 70s probably in the second quarter. We’ll do about 250 beds in the third quarter and close to 400 beds in the fourth quarter, with the large de novo project coming online in the fourth quarter. David, do you know how many beds that are under the de novos?
David Duckworth: Yes. With of the 800 beds, about 225 of those would be the de novo beds.
Unidentified Analyst: Got it. David, is there still a number to think about for CapEx this year?
David Duckworth: Yes, we had not changed our CapEx projection for the year. With the timing of it, it was a little bit lower in the first quarter, but we think, as you look at the course of the year, not an individual quarter, we still hold to our expectation. Around 2.7% of revenue would be the maintenance. And for this quarter, expansion CapEx was around $35 million of the total CapEx, and we see that number just with the timing of the beds and the spend this year, we see that number moving back to the norm over the last 9 months of the year, should be above $50 million or so a quarter.
Unidentified Analyst: Great. And you may or may not have this at your fingertips, David, bus is there any way to provide us to what the UK revenue and EBITDA was in the second quarter of last year after accounting for the divestitures? Just trying to make sure that we all have the right jumping off point as we think about the year-over-year growth.
David Duckworth: Yes. I will follow-up with you on that one.
Unidentified Analyst: That’s fine.
David Duckworth: We’ll discuss that.
Unidentified Analyst: That’s fine. That’s all I got. Thanks, guys.
Joey Jacobs: Thanks.
Operator: [Indiscernible]
Unidentified Analyst: Good morning. Thanks for taking the question. In the past, you’ve talked about needing to do JVs with hospitals and other types of arrangements in order to garner some of the benefit from the changes in the IMD exclusion. Can you just update us on how that’s gone?
Joey Jacobs: Again, I think from Acadia’s perspective, the opportunity with the joint ventures is really entering markets that we would otherwise not have an opportunity to go into. And what we’ve seen is tremendous reception from these not-for-profit, principally health systems, welcoming us to come in and be the lead on this psychiatric facility. The IMD maybe a corresponding impact, the expansion of the IMD, but the real driver is the recognition that there’s huge demand, huge needs in these markets and the medical surgical providers is just not their focus. And so they’re absolutely saying, Acadia, come help us solve this and let’s share in the upside. As Joey mentioned, we expect the ramp to be quicker. And because of they get a – they’re going to be participating in the ownership a little bit with us. Again, I think just to state it a little more clearly, is – this is a growth avenue for us. It’s next year, it’s the following year, the deals are getting signed now and this is just as impactful as M&A. So when people ask about the big deals, they shouldn’t lose sight of the messaging that we’re signing joint ventures very actively, which will really be helpful for the long-term value of the Acadia enterprise.
Unidentified Analyst: Can you give us any idea of how many you expect to sign this year or how many you’re talking to or potentially in the pipeline?
Joey Jacobs: There’s approximately 20 on the pipeline. The other information is a little bit confidential at this time.
Unidentified Analyst: And you think most of those 20 sign this year, sorry.
Joey Jacobs: No, we won’t sign 20 this year. But there’s plenty for us to do. But we don’t want to tip our hand here other than there’s about 20 on the pipeline.
Unidentified Analyst: Got it. And then maybe could you update us on your – how CRC’s doing and maybe what the impact of any increased funding for the opioid, epidemic, how that’s benefiting you?
Joey Jacobs: The opiate money and the Cures Act, it will be some more months before we see how that actually trickles out. And gets to the opiate – how they will use that to address the opiate addition – addiction issue. That’s a non-factor for us right now. We’re glad that they’ve set aside the money and they’re talking about it. But right now, it’s a state-by-state opportunity for us. And like for example, I think of the Cures Act, I think Tennessee is getting like $13 million. Now $13 million is a lot of money, but then on the other hand, it’s not a lot of money. So we’ll just have to wait to see how the governor wants to use that money to help on the opioid addiction issue. So all of our state are aware of this, and we got a lot of activity there. Bryan Kaegi, who heads up our special projects government relations, he has this as an opportunity for him.
Unidentified Analyst: Great. Thanks very much.
Joey Jacobs: Thanks.
Operator: Our next question will come from Ann Hynes from Mizuho Securities. Please go ahead.
Ann Hynes: Hi, good morning.
Joey Jacobs: Hi, Ann.
Ann Hynes: How are you? And so I have 2 follow-up questions, that I guess I need more clarity on, one on your U.S. same-store margin decline. Why is that down year-over-year? Is it just because you have a tough comp with Q1? I know same-store revenue was very strong last year. Is it incremental labor issues? Is it length of stay? I just want more detail on that, that will be great.
Joey Jacobs: Okay. It was a tough comp. Obviously, it was a tough comp. The one day also impacts this. We could’ve gotten a little bit more on the revenue side. I think we could’ve done a little bit better on the revenue, and most of that would have flown to the bottom line. But we’re very pleased with the first quarter results. We thought we would make $0.46 and that’s what we did. But the margin was up against a tough comp, and then we could have a little bit more revenue than what we had. But we’ll take it. It’s a great quarter. A lot of operations worked very hard and a lot of things positive. But that’s the primary two reasons for the margin.
Ann Hynes: Okay, perfect. And also getting back to the UK market, I know, I guess, this is the first time I’ve heard you say that maybe Brexit is impacting results, albeit modestly. How would you view – is it impacting emissions? Is the NIH being more conservative with reimbursement or outsourcing of beds? Or how has it directly impacting you, do you think?
Joey Jacobs: Well. It doesn’t impact us directly. It’s more the Brexit and the government over there working through that process. And I think they are a little bit more conservative today until they get through that process and see how it shakes out. But it appears to be there’s a silver lining here that the NHS is pushing more of the contracting and placing of patients to the local authority, which is closer – which would be the authority near our facility. And so from that, we have been seeing better rate increases and access to patients. So there are some positives there. But in a whole, the British government and I think everyone over there is just kind of waiting and seeing a little bit more about how does the Brexit, how’s all this going to work and the implications there. But there are some positive signs too that I just didn’t mention. But we believe the local authorities are going to have more influence on placing their patient and negotiating their rate.
Ann Hynes: Okay, that’s helpful. And just one last thing about the UK, because I know with the divestitures, can you describe the assets that you were left with? Because I know there’s the slower growth, I think you said on last quarter conference call, maybe the same-store growth profile is more like 4% to 5% because there’s a more adult services. So can you just maybe reiterate if I’m correct way that, that we’re all in line with the same-store growth over in the UK? And secondly, obviously, Q1, we expect – should we expect to ramp up in same-store growth in the UK, how we’re thinking about it within guidance?
David Duckworth: Yes. Ann, this is David. And just starting with what the company looks like now in the UK, you are right. The divestiture was within our healthcare division. So we did see the education, adult care and the elderly care division become a little bit more significant to the total. We should see strong growth across all of those divisions, but we do have healthcare, education and adult that are growing a little bit faster than the elderly care division. So that is the mix change that we should see. But after the divestiture healthcare, education and adult care continue to be our strongest division. And we do think that over the course of the year, as the integration is completed that we should see the growth pickup in the UK.
Ann Hynes: Okay, great. Thanks.
Operator: We’ll take our next question from Chris Rigg with Deutsche Bank. Please go ahead.
Chris Rigg: Good morning. Just Joey, you mentioned a couple of statistics on the impact of the leap year. I think you said 150 basis points to same-store U.S. revenue and then about 110 to patient days. Can you confirm that is correct? And was there any impact in the UK?
Joey Jacobs: Okay, it’s a 110 for both of those, not 150. It’s 110 here in the U.S. In the UK, it was between because we bought it partway through the quarter, it’s more like a 70 basis point improvement adjustment there.
Chris Rigg: Okay, okay. What is 110 here?
Joey Jacobs: Got it, got it
Chris Rigg: Then just on the – you made broad comments about, I would just call it, occupancy in de novos, but when you think about the organic bed development, how quickly than those beds normally get to sort of company level occupancy when you bring them on?
Joey Jacobs: We won’t those beds. We would want to come to our occupancy within 2 years. At the end of 24 months, the new beds added to existing facilities would be at the occupancy after 24 months.
Chris Rigg: Okay. And then on cash operating cash flow for the year, apologize again if I missed it, but can you give us a sense where you think that will shake out?
Joey Jacobs: Yes. I think for the year, we should be in the $400 million range. The first quarter is always the lowest quarter just with the seasonality that we see as well as the working capital needs and interest payment, things like that, that we see in the first quarter. But the full year number should be strong at around $400 million.
Chris Rigg: Okay. And then so with even the expansionary CapEx, do you think that the $400 million will be sufficient to cover the 800 beds coming – cover everything, let’s call it that?
Joey Jacobs: Yes. It will be more than sufficient. We should have excess cash flows even after we fund those projects.
Chris Rigg: Okay, that’s great. Thanks a lot.
Joey Jacobs: Thank you
Operator: [Indiscernible]
Unidentified Analyst: Hi, good morning. David, I just want to make sure I heard you clearly. On same store revenue in the press release, you guys reported 4.8% growth, but did I hear you say that constant currency, it would be 5.6%? Is that right?
Joey Jacobs: I don’t know if we gave a constant currency stat on the same-store line. The same-facility numbers that we presented in the press release are already adjusted for constant currency, that you would not to make an additional adjustment if you’re looking at our same-facility presentation.
Unidentified Analyst: Okay, great. And then Joey, on length of stay in the UK, it was down 11% year-over-year, and I just want to make sure I understand that your explanation you said earlier. Did you say it was you had more of the hospital side, you had growth there, which brought down the length of stay. Just wanting to understand that a little bit better.
Brent Turner: Hey Charles, really when you look at the UK, you’ve got a complete mix shift going on within the same facility within the first quarter and only for a portion of the first quarter. So it’s really hard to triangulate exactly what’s – there’s nothing "going on there," other than the effect of the adult division, the education division and the elderly care division rolling into the same facility, but only for a portion of the quarter. So I think we’ve mentioned before the UK stats I going to have to – you’re going to have to let them mature into the presentation before you can really fully anticipate the trends from that segment.
Unidentified Analyst: Okay, that makes sense. Thanks, Brent. And then last question for me on guidance. So you said guidance at $1.28 on UK pound. And right now, we’re at a $1.28. So why would you not raise the guidance modestly? Is it just conservatism? Or is there some other factors going on here?
Joey Jacobs: It’s just the $1.25 is absolutely the rate that we based it on for the year. And while we’re optimistic about some of the Brexit and the election proposal helping boost the value of the pound, we can’t say with certainty it’s going to stay at $1.28. So I think the absolute fact is if it’s at $1.28, our earnings will be higher than it if it was at $1.25, so we’ll adjust that on a real-time basis. So we didn’t have a lot of clamoring to move it over to $1.22, last year when it went below $1.25. So we’ve got to realize the effect of that. And if it’s at $1.28 or $1.30, that’s great. We just can’t absolutely have confidence that is going to stay at that level for the year. So from a consistency standpoint, we’ll just hold at $1.25 and adjust accordingly however the pound trends over the next 3 quarters.
Unidentified Analyst: Okay great. Thanks for taking my questions.
Joey Jacobs: Thank you.
Operator: We have no further questions at this time. I’d like to turn the conference back of store Mr. Jacobs for any additional or closing remarks.
Joey Jacobs: Thanks, everyone, for your time this morning to be on the call about Acadia Healthcare. We’ve had a great first quarter, and I want to thank Ron Fincher and his operations team and all of the 40,000 plus employees throughout the company that worked so hard taking care of our patients. I was with all of our business office directors here in the U.S. yesterday, and they were very excited and I think felt good about the company and what we’re doing, and I’ll be leaving today to go work on a possible joint venture partner opportunity. So we’re busy, all of us are busy, and we thank you for your interest in the company. Have a good day.
Operator: And this concludes today’s call. Thank you for your participation. You may now disconnect.